Operator: Thank you for standing by. And welcome to the James Hardie Third Quarter Fiscal Year 2023 Results Briefing. Today’s briefing is hosted by James Hardie’s CEO, Aaron Erter, and CFO, Jason Miele. [Operator Instructions] I would now like to hand the conference over to James Hardie’s CEO, Mr. Aaron Erter. Please go ahead.
Aaron Erter: Thank you, operator. Good morning and good evening to everyone. I am Aaron Erter, CEO of James Hardie and I’d like to welcome all of you to our third quarter fiscal year 2023 briefing. Turning to Page 2, you will see our standard cautionary note on forward-looking statements. Please note that the presentation does contain forward-looking statements and the use of non-GAAP financial information. For today’s call our CFO, Jason Miele will start by discussing our third quarter fiscal year 2023 financial results. And I’ll follow up with him on a strategic and operational update. We will then open it up for questions. While Jason will spend his time discussing our current fiscal year results. I will spend the majority of my time looking forward and explaining how we intend to continue to derive differentiated results into the future. Before I hand it off to Jason, I would like to take this opportunity to thank all of our employees around the world who remain focused on safely delivering the highest quality products and services to our customer partners despite the significant headwinds we are facing in all three of our operating regions. Our employees truly represent the very best in our industry. And I feel fortunate to work with them. With that, I will hand it off to Jason to discuss our third quarter financial results. Jason?
Jason Miele: Thank you, Aaron. And let's start on page 5 to discuss our global results for the fiscal year 2023 third quarter and year-to- date nine months. In the third quarter, group net sales decreased 4% to US $860.8 million. Global volume was down 11% due to the deceleration of the housing markets we participate around the world. However, in every region, our teams continue to deliver a strong price/mix growth, leading to group net sales down only 4%. In each region, our teams continue to drive strong product mix while executing strategic price increases, leading to price/mix growth of 10% in North America, 6% in Asia Pac and 14% in Europe. In regards to earnings, global adjusted EBIT decreased 19% to $165.4 million and global adjusted net income decreased 16% to $129.2 2 million. Every region's earnings continued to be negatively impacted by inflation. Nine months year-to- date results are much stronger buoyed by the stronger market in the early months of the financial year. For the first nine months, global net sales increased 8% to $2.9 billion and adjusted global net income increased 4% to $459.3 million, both our records for the first nine months of the fiscal year. As you are aware, the housing markets we participated in have decelerated during our current fiscal year and inflation continues to pressure margins. For the full year of FY23, we are estimating inflation to be between a $160 million to a $170 million headwind globally as we adapt to the changing market conditions and as Aaron will discuss further, we are making adjustments to our global workforce by balancing our manufacturing networks and reducing SG&A headcount. In total, we reduced our headcount by approximately 6%. globally. We incurred restructuring costs of $6 million in the third quarter, and will incur approximately $2.5 million in the fourth quarter. Globally has certainly been a challenging year with significant inflation and decelerating housing markets. Nonetheless, we are confident that the full year FY23 will produce a record for net sales with strong earnings and strong margins. Let's move to page 6 to discuss the North American results. In the third quarter, North America net sales were flat at $645.4 million. Volume growth declined by 10%, which was fully offset by strong price/mix growth of 10%. The strong price/mix in the quarter was underpinned by ColorPlus volume growth of 18% in the third quarter. The volume decline of 10% was driven primarily by the rapidly decelerating single family new construction market, and also lower repair and remodel market activity. In the third quarter, the team delivered a robust bottom line outcome with EBIT of $174.1 million and an EBIT margin of 27%. For the nine months year-to- date, net sales increased 15% driven by strong price/mix growth of 13% and EBIT increased 8% at 27.1% EBIT margin. Let's move now to page 7 to discuss Asia Pacific results. Asia Pac’s third quarter net sales were A$171.2 million, a decrease of 13%. The APAC business continues to drive high value product penetration, leading to price/mix growth of 6% in the quarter. The 19% decline in volumes with disappointing was primarily driven by continued market weakness in Australia and New Zealand, combined with inventory reductions from key customers in both countries. Third quarter EBIT was A$42.3 million with a margin of 24.7% driven by the volume decrease and inflationary pressures. Turning now to page 8, let's discuss the European results. The third quarter results in Europe remained very consistent with the first half. Volume was down 10% while the team drove strong price/mix growth of 14% leading to a net sales increase of 4% to EUR 101.2 million. Third quarter EBIT declined to EUR 1.5 million at an EBIT margin of 1.5%. The margin result was significantly lower than the first half EBIT margin 7.4%, primarily due to restructuring actions taken in the third quarter. The restructuring charges led to a 350-basis point reduction in the European margin. Turning now to page 9 to discuss capital allocation and guidance. Starting with capital allocation, our framework we introduced in November remains unchanged. Our first focus is investing in organic growth. Second is maintaining a flexible balance sheet. And third is to deploy excess capital to shareholders via the share buyback. Late in the third quarter, we began executing on the share buyback program. And during the quarter we purchased 1.6 million shares for total consideration of US $31.2 million. We intend to continue with the share buyback program when our trading window reopens. Regarding guidance, we have adjusted our fiscal year 2023 adjusted net income guidance range to US $600 million and US $620 million. We have lowered the guidance range for four primary reasons. Number one, North American volumes in the second half will be lower than we expected three months ago. Two, APAC volumes will also be lower than previously expected. Three, persistent inflation and four, the impact of restructuring charges in the second half. Regarding North American volumes, in November, we stated we expected our second half volumes to be down 5% to 8%. And we now expect that figure to be down 11% to 12%. This change was driven by the continued rapid deceleration of the US housing market. In regards to APAC volumes, the underlying housing market continued to decelerate faster than we anticipated, and there was significant channel destocking. Fiscal year 2023 was certainly a challenging year with full year inflation estimated to be a headwind between Us $160 million to US $170 million, and housing markets decelerating rapidly. That said, we expect full year fiscal year ‘23 global net sales to be a record and our adjusted net income to be the second highest ever achieved by James Hardie. I will now hand it back over to Aaron.
Aaron Erter: Thank you, Jason. Jason just walked you through our fiscal year 2023 third quarter and year-to- date results. As such, I'm going to spend most of my time discussing how we intend to drive differentiated results moving forward. In addition, I will provide you with a framework on how we intend to run our business as the markets and segments we participate in soften. Whatever challenges we face, it is our job to outperform the market while providing our customers solutions. That is what we have a history of doing and what we intend on doing moving forward regardless of market conditions. With that, let's turn to page 11. Some key takeaways as we look at fiscal year ‘23. First, significant inflation impacted our operations in all three of our regions. Second, we experienced a rapid and unexpected deceleration in the housing markets we participate in. And third, our teams remained focused on what they can control, like bringing our customers the solutions they need, and delivering strong execution of our strategy in a challenging environment. Let me briefly talk to each of these items. First, in regards to inflation. Our current estimates are that for the full year, we will incur approximately $160 million to $170 million of inflation globally. That is not only a significant headwind to our financial results, but also a significant change from our expectations entering the year. You will remember that during our February 2022 results call, we stated our expectation for fiscal year ‘23 was global inflation to be between US $40 million to US $60 million. We have been able to minimize this impact through pricing and productivity initiatives driven by the Hardie Manufacturing Operating System, or as we call it, HMOS. Net, let's discuss the housing market segments we participate in, specifically our largest region, the United States. We have provided the growth expectations for calendar year 2022 for both single family new construction, and repair and remodel based upon a basket of market data. We have provided in the notes the methodology we use to arrive at these consensus figures. As we discussed and forecasted on our last call, both of these market segments decelerated rapidly throughout calendar 2022. And we're not in line with original market expectations. You can see just how quickly the single-family new construction segment decelerated. Back in December 2021, the consensus expectation was that single family new construction segment would grow 6% in calendar 2022. By June 2022, the consensus was calling the segment to be down 1%. And ultimately over the entire calendar year 2022 single family new construction starts decreased 11%. It was truly a tale of two halves, with single family start seeing up 1% growth in the first half of calendar 2022 and decreasing negative 22% in the second half. You can see a similar story with the repair and remodel segment. Entering the year consensus expectation was for R&R to be up 6%. But ultimately, the segment saw a decline of 1%. What this data clearly shows is that the rapid deceleration in the US housing market was unexpected by the industry. A lot of factors drove this rapid market deceleration and they were outside of our control. But I believe the James Hardie team responded quickly and have course corrected with what is the new reality. And when I look at our fiscal year 2023 through that lens, I view it as quite strong year for our global team despite these challenging conditions. I think the team did a great job controlling what we could control and delivering solid results. Now please turn to page 12, where I will take you through those results. The entire team is disappointed. We have not achieved what we said we were going to do with the beginning of fiscal year ‘23. But as I outlined on the prior page, I believe there were a lot of things outside of our control that impacted our financial results in fiscal year ‘23. That said, I do believe the team executed strongly in the face of those significant challenges. And when I reflect on our financial performance in fiscal year 2023, it is still a very strong set of financial results. Globally, for the full year fiscal year ’23, we expect our global net sales to be the highest ever achieved. Our global volume to be our second highest ever achieved. Our adjusted net income to be the second highest ever achieved while delivering continued enterprise-wide productivity through HMOS. Regionally for the full year, we expect every region to deliver its highest ever average net sales price and every region to deliver record net sales. Specific to our largest two regions, North America and APAC, we expect for the full year fiscal year ‘23 to deliver EBIT margin in the middle of our long-term range of 25% to 30% despite the market and inflationary headwinds I mentioned earlier. There is a lot for us to build on as we look to the future. Our team's ability to deliver strong results through the adversity of this year strengthens my confidence in our ability to meet the demands of the changing market, and drive differentiated results moving forward. I'm excited to take you through the adjustments we're making to ensure we deliver on that. Let's turn the page 13. Simply put, we are managing quickly and decisively to accelerate our competitive advantages. We're focused on continued strong execution of our strategy, which starts with our nonnegotiable culture of zero harm, focusing on the customers and segments where we have the right to win. Delivering solutions, our customers want, strengthening our world class manufacturing and supply chain networks and marketing across the value chain and investing in our people. We're focused on driving profitable volume share gain, as most of the housing markets we participate in slow. We're effectively balancing our manufacturing network to ensure not only that we better match supply to demand, but through initiatives driven by HMOS, we do it at a lower cost per unit. And we ensure we are agile and ready to react to any market adjustments. we're optimizing SG&A for the current environment, and reallocating resources to key areas and projects. We are continuing to invest in profitable growth. I like to quote a phrase from the great college basketball coach John Wooden that I often share with my team as we navigate through this challenging time. That is, be quick, but don't hurry. I believe this is what you have seen and will continue to see from us. We can be agile and adaptive to respond to significant changes in market conditions, but are also thoughtful and focused on where we can accelerate our competitive advantages. We have the right solutions that our customers are seeking. And that will allow us to deliver differentiated results. Okay, let's now move on to discuss each of these items in more detail, starting with driving profitable share gain on page 14. As we enter this period of decelerating housing markets, it is critical we remain aggressive in that we are driving profitable volume share gain in every region and segment we do business in. We are laser focused on this and see this as a time of opportunity. I will discuss our focus in each region before diving deeper into some of the specifics regarding the North America new construction segment on the next page. Let's start with APAC. As we described in our Investor Day, we have a robust presence in all three of our APAC countries. We will leverage this position to drive further penetration of these markets and segments. In Australia and New Zealand, we have a strong opportunity to continue to penetrate the modern look and both new construction and repair and remodel with our innovative products. The Hardie Architectural Collection is off to a strong start in Australia, New Zealand comprising approximately 3% of our volume in fiscal year ‘23 year-to- date. As our APAC President John O'Neill described in our Investor Day, the team is focused on influencing across the entire value chain, including homeowners, builders, contractors and our customers to ensure we are driving profitable share gain in both new construction and repair and remodel. In Europe, our new regional President, Christian Klaus and team have significant opportunity to drive profitable share gain across three key focus areas as we described in our Investor Day. The first is we're going to seek to penetrate the underfloor heating market, leveraging our innovative Therm25 fiber gypsum product. Second, we will penetrate the plank market using our fiber cement technology, not only our existing overlap plank products but our innovative interlocking plank product VL Plank. Third, we will penetrate the large multifamily panel market, leveraging our innovative Hardie Architectural Panels. As our North American region President Sean Gadd described in our Investor Day, we plan to win in every segment in every region that we participate in, in North America. We're going to do that by providing the solutions that our customers need. That includes continued penetration in repair and remodel with large opportunities in both the Midwest and Northeast. We continue to drive strong growth of ColorPlus products, and repair and remodel as evidenced by our ColorPlus growth 26% year-to- date in fiscal year ‘23, after growing a strong 27% in fiscal year 2022. In addition, we're being opportunistic with our capacity to target segments and regions that we underserved over the past couple of years. Some examples would include the multifamily segment, our interiors product line, and the mountains region. Now, let's turn to page 15 to dive deeper in the North America new construction, and how we plan to continue to aggressively drive profitable share gain in that segment. As we have discussed many times in North America, approximately 65% of our volume is derived from the repair and remodel segment, and 35% is derived from the new construction segment. As I mentioned earlier, thus far in fiscal year 2023, the new construction market has decelerated much more significantly than the repair and remodel segment. As I described in our second quarter call in November, the R&R segment is a less price sensitive segment for us. And thus, the achievement of our January 1 price increase is complete. The single family new construction segment is much more price sensitive. And thus, we need to make sure we are on our front foot and aggressively driving profitable share gains. It is in this segment where we must stay close to our customers to better understand their needs. And bring them the premium products and services that enable us to grow together. We're focused on continually driving profitable share gain in this segment. And we can do it because we have the largest and most knowledgeable sales team in the category. And we have the team deployed, focused on winning share. We're staying close to our customers to better understand their needs and bring them the right solutions products and services. We're also leveraging our localized supply chain to deliver the right products to the right place at the right time. We recognize that in this decelerating marketplace, our big builder customers are experiencing volume and cost pressures. And we will continue to be aggressive with tactical pricing as needed to drive profitable shared gain. On the right-hand side of the page, I've listed a few of the accomplishments achieved by our team over the past several months. First, I would like to talk about our traction with the top 25 production builders in North America. As of this call, and ahead of the 2023 build season, I'm proud to say we have signed contracts with 24 of the top 25 production builders to make us their primary hard siding provider nationally for calendar year 2023. This is an increase from ‘23 of the Top 25 last year. As I mentioned earlier is a highly competitive market. And over the last few months, we have seen some intense competitive dynamics. We have and will continue to be laser focused on defending our position and aggressively pursuing new share gain opportunities. We have been successful in doing this in the current environment. And with our value proposition, we are in an ideal position to continue to do so. When it comes to the big builder space we have strong partnerships, but have never taken them for granted. And we work hard every day to earn their business by providing them the solutions and service they need. To that end, we relaunched Cemplank in select regions for big builder partners. We believe that none of our wins and some minor losses we have gained share within the single family new construction segment and entering the calendar 2023 new construction build season and we are focused on continuing to strengthen our key relationships and partnerships in this space. In fact, across our customer base and builder base we have received four Vendor of the Year awards for calendar year 2022, and will do everything in our power to continue to serve our customers and our builders to the best of our ability. We recognize that new construction is and will continue to be a very competitive segment. But we believe we are well positioned to address our customer needs, but the solutions that they want and need. We will remain aggressive in gaining share by providing the best services and solutions in the industry, while leveraging tactical pricing as appropriate. While focused on discussing the single family new construction segment on this slide, I assure you that the broader team remains laser focus on continuing our penetration of the repair and remodel segment as well, as evidenced by our ColorPlus growth of 26% year-to- date. In addition, the team is actively pursuing opportunities in other segments and regions that we underserved the past few years due to capacity constraints. We have a great team focus on the multifamily new construction segment and have reopened our internal quoting desk. We expect multifamily to be an important segment this year as per housing starts data, multifamily has been more robust than single family with growth in calendar 2022 and projected to be down less than single family in calendar 2023. And we're excited as our internal quoting desk currently has an all-time historically high number of multifamily jobs in our quoting queue. We're also refocusing on regions we underserved such as the mountain region. And we are excited to continue to grow through our retail partners, where we sell both our exterior and interior products. When you consider the totality of our product and segment mix, we expect our net sales price to increase moving forward in North America. A topic I will discuss a bit further in a few slides. We are laser focused on driving profitable volume shared gain, and every segment in every region, we participated. Please turn to page 16 to discuss how we are effectively balancing our manufacturing network across the globe. Our zero-harm culture is nonnegotiable, and our team remains laser focused on zero harm regardless of market conditions, or changes we make to our manufacturing networks. When markets decelerate, it is imperative we lower capacity to better match market demand. This is a given. However, we also must position ourselves to be able to quickly ramp up when markets improved. While all suppliers flex their production. We believe it is an opportunity for outperformance and we believe we can create differentiated results as follows. First, we're focused on delivering a lower cost per unit. After we have made these capacity adjustments. We believe we can do this by shifting production to our best performing lines while continuing to drive HMOS performance improvements. I referenced a lower cost per unit is performance based and excludes future headwinds or tailwinds from inflation. Second, we learned a lot from past downturns, and we'll adjust our capacity in a manner that provides us the flexibility to ramp back up quickly and effectively when housing markets recover. On the last slide I spoke about gaining share through the downturn. But it's also important we position ourselves to gain share as the housing markets returned to growth. Third, we will continue to leverage our localized supply chains to minimize landed costs, while ensuring timely delivery of our best-in-class products and solutions. In our third quarter of fiscal year ’23, we made adjustments to our manufacturing networks in all three regions. We did this by reducing our shifts and changing shift patterns. We have not idled any lines nor shuttered any facilities. This is critical for enabling us to ramp back up quickly in the future when housing markets recover. Again, we believe we will achieve a lower unit cost based on our adjustments while providing flexibility to ramp up as we see signs of housing market recovery. Our ability to flex our manufacturing network up and down while delivering high quality and low cost products is enabled by the HMOS discipline we have embedded globally over the past four years. And this capability will enable us to drive share gain through the market downturns, while also enabling us to be in a position to drive share gain through the next cycle of market growth. Let's shift to page 17 to discuss the adjustments we have made to SG&A. I want to make it clear that we intend to continue to invest in profitable growth. The adjustments to SG&A were necessary but do not impede our ability to drive the outcomes we want. We reduced SG&A headcount in all three regions and a corporate. We did this to ensure SG&A headcount better align with our strategic needs. In addition to the headcount reductions, we have lowered our discretionary SG&A spend in the second half of fiscal year ’23 compared to the first half, we're still investing significantly in strategic growth initiatives, and believe we're in fiscal year 24 at the appropriate SG&A spend level. We will monitor it closely and apply a pedal and clutch approach to adjust as needed. As you are aware, the largest portion of our discretionary spending within SG&A is marketing to our value chain participants. The adjustments we have made are to better balance our marketing investments across our various mediums and audiences with a focus on targeted conversions and share gain while continuing to increase brand awareness. What I'm excited about is that we continue to see great results from our marketing efforts, where we have seen an approximate 50% increase in leads year-to- date. As I noted at the beginning of this page, we will continue to strategically invest in growth initiatives, including adding the right talent and investing in marketing to all members of our value chain and adjust with a pedal and clutch approach. We will invest in the right SG&A initiatives at the right time to drive share gain through the market downturns. Now, let's move to page 18. As I discussed last quarter, we will not be providing guidance regarding fiscal year ‘24 until May, calendar year 2023. That said I thought it was important that I share with you how we are managing our business not only strategically, but what outcomes we expect to deliver. First, we plan to continue to deliver growth above market in every region. Second, as we move forward, we expect to achieve higher net price in every region. Third, as we make manufacturing network adjustments, we expect to do so while utilizing HMOS to deliver lower cost per unit on a performance basis. Fourth, we expect to manage our global SG&A spend in line with our current second half fiscal year ‘23 levels. Lastly, we expect to maintain EBIT margins in North America and APAC above 25%. This is how I expect our team to run the business. And I think these targets are highly achievable. We expect to drive profitable volume share gain in all three regions while delivering strong financial returns. Finally, let's turn to page 19 to wrap up. Before I wrap up, I do want to take this opportunity to again, thank each of our 5,000 employees from around the world for their efforts in delivering the highest quality products and services to our customer partners in what remains a challenging operating environment. I am confident and excited about the future and what we will accomplish together as a team. As I shared with you all during Investor Day, we are a global growth company. The same compelling tenets I shared then are the same that will allow us to accelerate our competitive advantages through this market downturn and enable us to come out a stronger James Hardie. We will continue to operate with a focus on zero harm and acting as a responsible corporate citizen. We have an experienced management team that is leading quickly and decisively. We have a strong balance sheet and strong cash generation to help see us through any market downturn. We have strong share gain opportunities across a variety of segments and regions and we will be aggressive in pursuing them. We will leverage our integrated localized supply chain, strong customer partnerships, strong brand and our premium products and services to maximize these opportunities, and we intend to deliver attractive returns throughout the market downturn. We remain homeowner focused, customer and contractor driven. With that, I would like the operator to open the lineup for questions.
Operator: [Operator Instructions] Your first question comes from Brook Campbell-Crawford with Barrenjoey.
Brook Campbell: Good morning, thanks for taking my question. Just went on guidance for FY23, and the implied fourth quarter and parts about $150 million, which is a step up from $129 million in the third quarter. Can you just step through the drivers of sequential pickup and part quarter-on-quarter from 3Q to 4Q, pls?
Jason Miele : Yes, Brook, thanks for the question. Start with price increases. Second would be the expectation that volumes are roughly in line in most regions to Q3. The expectation was better landed cost through HMOS and some inflation decreases in our input costs would be and then the lack of a restructuring charge would be the items walking from the Q3 net income, which I think is where you're starting from.
Brook Campbell: Thanks. What's the fourth quarter North America EBIT margin expectations?
Jason Miele : Yes, as we talked about on slide 18, our expectation is to sorry, not on slide 18, we expect to drive EBIT margin according Q4 based on higher net price and lower landed cost.
Operator: Your next question comes from Keith Chau with MST Marquee.
Keith Chau: Good morning, everyone. Thanks for taking my questions. Just one on price/mix. So I guess the commentary suggests that prices are going up. But obviously with market share gains and new sequences a chance to mix is impacted. And if you look at the price/mix number between 2Q and 3Q, there was a very slight decline quarter-on-quarter, but that might just be quarterly variability. But Aaron, can you help us understand where you think the outcome overall, we'll be for price/mix in the context of price increases still coming through? Is there an expectation of mix to revert back to historical levels, at least to an extent, if you can help step us through that that would be much appreciated. Thank you.
Aaron Erter: Yes, thanks for the question, Keith. I think part of this is the price increase that we will realize in Q4, I'll have Jason walk you through the steps to this. Jason, why don't you go ahead?
Jason Miele : Yes, Keith, we're still obviously focused on the same, winning in the same market winning in every market, every segment, there certainly be mixed impacts. Our focus is that, as Aaron described on page 18, in every region, we expect, net of all those movements, net price to increase year-on-year. So certainly as we went through the presentation, Aaron described the competitive nature of single family new construction, we're doing really well in multifamily. We have an opportunity to better serve interiors than we did during the past couple of years. And so there'll be quite a few different mix impacts that occur. But net of all that and our price increase, we expect to drive a higher net price year-on-year. And as we give formal guidance in May, we can unpack that a bit more. But that's what we see moving forward.
Operator: Your next question comes from Andrew Scott with Morgan Stanley.
Andrew Scott: Thank you. Good morning. Aaron, this follows on nicely from Keith's question. I know that you commented on the relaunch of Cemplank, obviously, that's a pretty important strategic decision. Can you talk about the parameters you're putting around that and how far that extends?
Aaron Erter: Yes, Andrew, thanks for the question. Look, we talked about before bringing solutions to our customers, understanding their needs. So obviously, particularly if we look at our big builders, they're becoming more and more price conscious. It's becoming more competitive out there. So Cemplank is an asset that we have in our arsenal that we brought back, but on this call, I'd rather not go into the specifics for commercial sensitive reasons. But as I mentioned before and Jason that I'm really confident we're going to drive a higher net sales price as we move forward. And again, we're going to continue to partner with our new construction building partners to ensure they have the right solutions that allows them and us to be successful together.
Andrew Scott: Okay, thank you. And Jason, just interested in the cost environment, obviously, we've seen transport come away your expectations, and when we might see some bottom line improvement, whether it's just cycling the cost comps from a year ago, or where you're seeing some of those leading indicators pointing to some relief.
Jason Miele : Andrew, we continue to see inflation be pretty stubborn into Q3. But we would expect as we move into Q4 and onward, to deliver a lower landed cost as we shift production to more efficient lines as Aaron discussed. And we have seen some improvement in freight that we're currently not seeing while inflation is stubborn, and prices are high. We have seen them; the other basket of goods starts to flatten. So yes, we expect to start to not seen landed costs impacted as much as it has been the first three quarters of this year.
Aaron Erter: Yes, Andrew, I'll just add on to that. Jason mentioned, the high level of inflation that we saw this year unexpected almost three times the amount, but as we move forward, it's our responsibility to offset those. So whether that be price/mix, combination of both of those and our HMOS, we're going to work hard to make sure we're offsetting any type of inflation that comes across us.
Operator: Your next question comes from Lisa Huynh with JPMorgan.
Lisa Huynh: Oh, hi, morning, guys. In the context of North American volumes paying off 10% in the third quarter, can you give us an indication of how sharply R&R was off, relative to new construction?
Aaron Erter: Yes. Hey, Lisa, thanks for the question here. If we look at our expectations for North America, R&R remained a little stronger than single family new construction. But we did see that dive into negative territory for us over the last quarter.
Jason Miele : Yes, Lisa, then, on the call, Aaron referenced a basket of providers we use to measure the different markets. And that same group is signaling R&R in calendar year ‘23, to be down 6% to 7%. And then obviously our fourth quarter would be a part of that year. So while we thought, last quarter, we were signaling kind of flattish R&R activity is certainly our second half down in the low single digits.
Lisa Huynh: Okay, sure. And then I guess in the context of that you did highlight as well, the competitive market environment out there, can you just make a comment about market share [inaudible] how you're seeing competition in the scheme of things?
Aaron Erter: Yes, look, we have a lot of good competitors out there, I would say two of our best are vinyl, substrate and wood substrate. And if you remember, Lisa, I mean 65% of our business is repair and remodel, 35% new construction. And R&R is less sensitive, as we just talked about, new construction is much more price sensitive. And thus a much more competitive market at the moment. But we're prepared for that. We talked about some of the things that we're doing out there, we talked about bringing Cemplank back. But some of the other things is we have the largest and most knowledgeable sales team in the category, right? So they're focused on bringing solutions to our customers. And we're staying really close to our customers to better understand their needs. We talked about it on the call, but we're really proud of the fact that if you look at the Top 25 production builders in North America, we've signed 20 for them, and with pride for us to be their primary hard siding provider nationally. We had 23 last year. So we continue, we believe to gain share, not only in R&R, but also in this space as well. So in offline, we can go through that calculation with you, if you're interested.
Operator: The next question comes from Simon Thackray with Jefferies.
Simon Thackray: Thanks very much. Hi, Aaron. Hi, Jason. And, Aaron, just followed drilling to a point -- for a point of clarification on slide 18. You've got EBIT margins 25 plus percent. You referenced in your pre prepared remarks long term North American margins of 25% to 30%, sort of understand whether though that 25 plus percent applies, you said you want the team to deliver that applies from where we are going forward, and to really feel how your confidence is built around that long term 25% to 30%. How much of it is cost versus how much is prospects? Thank you.
Aaron Erter: Simon, good question. Thank you. What I went through that on slide 18, today is really I was trying to describe the framework of how I'm going to lead this team and how our executive leadership team will lead the business moving forward. I wanted to provide some clarity on how I plan to operate. And the outcomes that we expect, I believe a margin above 25% is highly achievable moving forward. I believe that's achievable based on our pricing position, our superior value proposition. It's not something that we're forcing, because share gain is my number one priority. But that said as I've looked at this, and a lot of the volume scenarios for the next 18 months, I really believe we can operate above 25% while still investing in driving growth as well.
Simon Thackray: Thanks, Aaron. That's very helpful. And then Jason, can I just roll back to you for a comment you made about APAC decelerating quickly? Just specifically, which geographies are you seeing that in the order book?
Jason Miele : Yes, Simon, in Australia, New Zealand, we've certainly seen channel destocking and then market activity lower than what we would have entered the year expecting. So the change in market activity from where we were entering the year in Australia to where we're at, we believe we'll exit, it's probably about 8% change, which is quite significant. And as we talked to everyone in the channel, that just wasn't something that people saw coming in as late as September. And Aaron might add some commentary around that. But we've definitely seen the markets in Australia, New Zealand flow quickly, including some channels destocking, which is impacting the third quarter, and the fourth quarter.
Aaron Erter: Yes. Simon, I'll just add to that being here when I first began in the September timeframe, and sitting with some of our largest customers as we looked for the outlook was pretty positive. But as we look now, as Jason talked about, with rapidly rising rates home prices, not having the affordability. We see some challenges with the business moving forward in Australia and New Zealand.
Operator: Your next question comes from Sam Seow with Citi.
Sam Seow: Oh, morning, guys. Thanks for taking my question. Just want to kind of go back to November, I guess it was halfway through the quarter. We talked about single digit volume declines. And we asked I guess, multiple times in the call about margins, which you said, potentially, we're going to be towards the higher end of range. So I assume that's what you're seeing at the time, does that imply the exit rate where margins were close to kind of 25 to make that math back up? I guess that split of the margin decline, could you perhaps talk us through what was kind of the fixed cost deleverage and input cost?
Jason Miele : And yes, thanks. Thanks for the question. Comes down to volume certainly, so volume, we had our expectations. We talked about on the call R&R been flat, the back half of our year, market activity, new construction down 30. You fast forward to today, new construction starts or minus 26 in Q3 and decelerating pretty quickly. So we'd expect that number to be higher in Q4, our Q4 and as I mentioned earlier, providers of the R&R data, we get signaling this calendar year ‘23 being down six or seven points in R&R, and we certainly saw R&R fall quicker than we expected in November. So the margin is primarily volume driven. Our expectations, you're right, we were talking to you early November, we comped the positive October. We knew that it was starting to decelerate, but obviously the deceleration was faster than we expected at that point in time.
Sam Seow: Okay, cool. And then I guess, also back then you talked about the unusual building practices, I guess this result probably showed there's a difference between Hardies and home builder completion correlation. So I just wanted to check if those practices still around and I guess when you would expect that correlation between your volumes and completions to kind of show up again.
Aaron Erter: Yes, Sam, a great a great question and look, just being out in the field quite a bit in North America. As in the metro DC area, and then Texas as well. We do see some of that still. It's not as widespread. And thanks for the question. I think it provides me an opportunity to really clarify something I think might have been misconstrued on the last call. We saw some of this phenomenon in some regions where the product was going on first or before other historical practices. We noted that we saw instances where siding was going on new construction before roofing or windows, like you said, and we said that's caught us by surprise, and it did. Essentially builders and new construction, were consuming our product first, because we were a manufacturer who was able to keep up with the demand, and not compare the suppliers who were on long backlogs. We were feeling the downturn and new construction ahead of those manufacturers whose products were on backorder. So I just want to make a clear, our explanation last quarter, that was not intended as a reason for why our volumes were declining. But really rather reason why it was happening sooner than we originally thought. So we still see it. I still have pictures on my phone, because I've seen it in person. But I would say as the supply chain has caught up, it's not as widely spread, as we once saw it. But thanks for the question.
Operator: Your next question comes from Niraj Shah with Goldman Sachs.
Niraj Shah: Hi, good morning, guys. Hope you can hear me. Just one for me. How are you thinking about I guess; the multiyear CapEx spend program in light of some pretty quickly changing dynamics on the ground?
Aaron Erter: Yes. Hey, Niraj, thanks for the question. Just to really restate our expectations, we did -- me being new, I continue to review all our CapEx projects, right. Want updated assumptions as the market is ever changing, but at a high level, we still expect to spend around $1.5 billion, I think probably what you're going to see is instead of that spread out over three years, it might be a more extended time period here for us, as you can appreciate.
Operator: The next question comes from Peter Wilson with Credit Suisse.
Peter Wilson: Hi, good morning. Good evening. Just a question on gross margin. So North American gross margin for the quarter was down 190 bps. So this seems to be in the context of the strong price/mix, high value product mix. Aaron, you mentioned earlier that inflation for the group was $160 million to $170 million for the full year. So that's $120 million higher expect at the start of the year. That should be more or less taken care of by the June price increase, I would have said like 4% is about equivalent to that. So just wondering why gross margins continued to decrease in the quarter, even after that extraordinary June price increase and in light and in the context of your high value product mix?
Aaron Erter: Yes, Peter, great question. Just being completely transparent, even though we've done a great job, from pricing as of late the team's been able to go out and utilize our strong value proposition to get price, as I look over the year and hindsight is always 2020, we should have had probably two more price increases, or the earlier price increases should have been greater than what they were. That's really the gap that you're seeing right now.
Peter Wilson: Okay. And just a quick one on SG&A. The changes made, did they come through in the third quarter, or is that further decrease has to come in the fourth quarter and beyond?
Jason Miele : Yes, Peter, you will start feeling it completely in Q4. And we also had the restructuring charges above the line this quarter. So it'll be Q4 will be favorable to Q3.
Operator: Your next question comes from Harry Saunders with Evanson Partners.
Unidentified Analyst : Hi, guys, thanks for taking my questions. Just firstly, I think you were alluding to multifamily outlook for ‘23 being better than single family. And so given the improved outlook being provided by US home builders, I'm just wondering if you could give some color on your expectations for single family new construction in calendar ‘23.
Aaron Erter: Yes, Harry, I think it's all relative, right, when we're looking for pockets of hope out here, right, multifamily, it's exciting because it hasn't been an area that we've really attacked much because capacity constraints and we are going after it. And we're seeing in our Q was leads more than we ever have in multifamily. What I will say as we look forward single family is expected to be a down 17, multifamily suppose -- is expected to be down 14 by the data we look at. So, not as severe as single family. But as we look forward, we think it's a huge opportunity for us in an area where we really have the right to win. And what I'm excited about, as we've opened up the multifamily desk, we're seeing a tremendous response as it relates to leads that are in our Q.
Jason Miele : And one thing I would add here is, I think, as Aaron was mentioned on the call, the thing you were referring to is calendar year ‘22 multifamily was up 14% and starts, whereas single family was down 11. So you're starting from a better base and moving forward. Yes, we're excited about the multifamily opportunity.
Unidentified Analyst : Great, thank you. And just one follow up, if we could just move over to price. You talked about price/mix growth year-on-year, but I'm just wondering with price increase in January, and then the mix impact we could expect. Should we be expecting to the fourth quarter sequential price/mix great.
Jason Miele : Sorry, are you saying fourth quarter versus third quarter?
Unidentified Analyst : Yes, sequentially.
Jason Miele : Yes. So we took our price increase on January 1. So we'll achieve some of that, if not all that in Q1? sorry, our Q4. And we do expect as Aaron mentioned on page 18, net price per unit increasing going forward.
Operator: Your next question comes from Anderson Chow with Jarden Group Australia.
Anderson Chow: Oh, yes. Thank you. Good evening and good morning. I just have a question away from the results for a moment, there has been a few additional senior management roles appointed, I just want to know a little bit more about Mr. Joel Wasserman, he is going to run a Corporate Communication and Global Brand Management. What is the focus on a brand management and how involved would he be with the regional sales team?
Aaron Erter: Yes. Hey, Anderson, thanks for the question. We always like to talk about our people. We have made a few changes here. And Joel is going to lead corporate communications and global branding. The corporate communication spot is new for our company we've never had before. So we think that's important and critical function as we move forward. And global branding is really when you think about a lot of the investments we're making in the James Hardie brand, is to ensure that we're projecting and displaying the brand the right way across all the regions. So to your point, Joel is going to work very closely with the regional marketing leads to ensure we do this, Joel is someone that I've worked with before in my past, at Valspar and at Sherwin-Williams, and he has a really extensive background. And I know you didn't ask about it, but I’ll just throw two more in there. Tim Beastrom, is our new general counsel. So we're excited to have Tim. Tim also had worked with me in the past, most recently was at Ecolab. So Tim is going to be a great addition to our team. And then having a CHRO, strong CHR is really critical to our business moving forward. So Farhaj Majeed is going to join us and his first day is going to be next week, and we brought Farhaj over from Whirlpool, where he was sitting CHRO for the EMEA region over there. So we're really excited about these three new additions to our ELT team.
Operator: Your next question comes from Daniel Kang with CLSA.
Daniel Kang: Good morning, everyone. I'm just interested in your comment on driving a higher net sales price. If I look at slide 23 of your packet looks like net sales price slipped in 3Q for North America and flatten in APAC. Just trying to reconcile how you expect to grow net sales price given the relaunch of Cemplank, and I guess a tougher market where arguably you'd have to grant rebates.
Jason Miele : Yes. Daniel. Thanks for the question, Daniel. Yes, Q3 versus Q2, our last price increase was in July. We achieved that in the second quarter. So we got a price increase on January 1 that we've put through, as Aaron talked about on the call, 65% of what we do is R&R, not price insensitive, I should say. And so we'll achieve that in the R&R segment, and then you shift to smaller portion of our business, the 35%. And Aaron went through all the things you just talked about, relaunching Cemplank on a limited basis, et cetera. So there'll be some mix factors there. It's also the expectation that new construction decreases more significantly than R&R, so you should get a mix benefit from that. So there's a lot of moving pieces this quarter or sorry, moving into next year, net-net, we think you take all those things together with the price increase, we're going to drive a higher net price moving forward.
Aaron Erter: Yes. And hey, Daniel, I'll just add to what Jason said. We intend to do this. This is all after discounting as well.
Daniel Kang: Got it. Okay. And I guess one of the key highlights remains that ColorPlus volume continues to perform very well. It has slipped a little bit, but what's your outlook going forward for that sort of range for ColorPlus volume?
Aaron Erter: Yes. Look, Daniel, it's a great question. I mean I think the performance has been just outstanding. Right. As you look at, I think it's over the last six quarters, we've grown this about 30%, and most recently, we grew at 18%. And you have to remember, this is a big focus area for us when we think about our marketing efforts and where we're targeting really very good R&R markets like the Midwest and the Mid-Atlantic and the Northeast out there. We expect to continue to grow this at double digit rates out there and above the market. So it is a high focus, and we expect to continue to deliver those types of results.
Operator: Your next question comes from David Pace with Greencape Capital.
David Pace: Hi, guys. I know it's early days, but some of the calls have done with some homebuilders of late have spoken about a response to a lowering of the 30-year mortgage rate, just in terms of foot traffic, reduction in cancellation rates, slight improvement in sales. Again, I guess referring back to the earlier question regarding the lag between activity at the housing level and you guys actually selling board? Can you make reference to first of all, are you getting any of those sorts of signals from the home building companies? And secondly, redress that lag question for us.
Aaron Erter: Yes. Hey David, I know there have been a few positive comments out there from some of the recent, from some of the big builders on results calls, but just to ground things, and I hope they're right, but I would be cautious there with some of these comments. If we look at some of the data providers that we utilize out there, the projection we have for 2023 is for single family new construction to still be down call it 17%. And even though there were some positive comments around foot traffic, of the 12 publicly traded big builders who released earnings in the past few weeks, to my knowledge, only four of them provided guidance for orders for their next quarter. And that guidance Jason checked me here, if I remember, was for orders to be down 18%, 20%, 50% and 60%, respectively. So not trying to be negative, just realistic, I think we need to be balanced here. So for the most part, I mean, the fundamentals are still there in that we have affordability issue with housing that may take some time for the markets to fully adjust to. So as I said before, I mean, I keep saying this to the team over and over, we're going to focus on what we can control and we'll win in the markets we participate in, but those things we can't control.
David Pace: And with R&R continuing to outperform new construction, is 65:35 still a fair representation?
Aaron Erter: Yes, it's a really good question, David. I would say for now, yes, but it's something we're keeping our eyes on, so it's a really good question, but yes, I would say for the foreseeable future.
Operator: Your next question comes from Paul Quinn with RBC.
Paul Quinn: Yes, thanks very much. Just a question about your balancing the manufacturing footprint. Why reduce shifts across the network as opposed to shut one specific facility and lower the overall cost?
Aaron Erter: Yes. Hey, Paul, great question and I'll have Jason jump in here because he's very experienced and has lived through this. But as we analyze what to do with the team, one of the things that we at James Hardie always want to be is long on capacity to make sure we're servicing our customers. When you take a whole plant down, it takes a considerable amount of time to get it up and running. And we want to be there and be responsive to meet our customers’ needs and be able to fulfill the demand that they have out there. So it is a little bit of an investment for us, but we think the right one to make.
Operator: Your next question comes from Shaurya Wasan with Bank of America.
Unidentified Analyst : Hi, Aaron, Jason. Thank you for taking my question. Can I circle back on pricing, please? Now just curious, have you seen any pushback on pricing from the builders? And I ask that because we're increasingly hearing from some building product categories, right, like roofing and flooring come to mind. They're seeing a pushback on pricing from the builders. I'm just curious, especially given that both these categories are also highly skewed towards R&R. I just want to get your thoughts on any pushback on pricing from builders. Thank you.
Aaron Erter: Yes, Shaurya, as you can imagine, in this really competitive time when the big builders are seeing volumes down, certainly they are price sensitive. So, as I mentioned before, one of the things that we try to do by having the largest sales team out there who are hand in hand with our customers is understanding the solutions that we can bring to our customer base, whether that be an R&R or a single family new construction. So we are utilizing tactical pricing where we need to, and we are bringing in lower cost alternatives like Cemplank where it makes sense. So I would say we're adjusting and working with our customers to help them drive their business in this time.
Unidentified Analyst : Thank you. Just a quick one, quickly on just a mix by exterior and interior products. Could you just give us a sense of where that number is right now? Is it, like, still 90: 10? Also, how did the growth look like during the quarter?
Aaron Erter: Yes, Shaurya, I didn't get your second question, but you hit the nail on the head. It is a 90:10 exterior interior mix, roughly. I'm sorry, what was your other question.
Unidentified Analyst : And what was the growth rate like in the third quarter on those two categories?
Aaron Erter: They were both right around minus ten, so they were pretty consistent.
Operator: Your next question comes from Lee Power with UBS.
Lee Power: Hi, Aaron. Hi, Jason. Can you just talk a little bit about inventory levels in the channel? Like, where do you think they sit now? Particularly just thoughts around risk of further destocking, given your -- kind of your outlook commentary.
Aaron Erter: Yes, Lee. Hey, thanks for the question. It really does vary by customer by customer, and certainly we're seeing some customers still trying to get their inventory levels lower with the lower demand out there. But I would say in general, just in building products and some of the products that are, I guess, adjacent to us, we're still seeing some pretty robust inventories. But I would say with our customers, our James Hardie customers, they're in a better place with our products. I don't want to give an exact number of days, but I would say that they're in a pretty good place at this point in time.
Lee Power: Okay, thanks. And then I mean if we think about CapEx for capacity expansion, like, the management pack still has that $1.6 billion to $1.8 billion number in there. I think you talk to $1.5 billion in particularly and potentially stretching out the spend. But it's still coming. And so it seems from when I piece that together with your comments, just around margin, that you're continuing to preference share over margin, like given your kind of market outlook, what do you think is an appropriate share growth number that we should actually be putting in, given that preference for share? And maybe if you're not willing to give a range, do you think share growth will be kind of above the five year average? Or is there something else going on that despite you adding capacity and potentially being margins at the lower end that you're not going to get the level of share growth that we've kind of been accustomed to over the last five years.
Aaron Erter: Yes. Hey, Lee, I look forward to talking to you about that in May because that'll be some guidance. But I will say this, I'll give you this nugget. The expectation is we're going to grow above the markets we participate in.
Operator: Your next question comes from Peter Steyn with Macquarie.
Peter Steyn: Hi, Aaron and Jason. Thanks very much for your time. Aaron, just a quick question in relation to some of the conversation about margins and how you lay that up against your LTIs for both North America and APAC at that 27% to 32% range. Obviously, that's forward looking view but how do you contrast your conversation today around margins versus those targets?
Aaron Erter: Hey, Peter, you can appreciate I wasn't around when those LTI goals were set. So as we think of the changes in the market, they've been changing dramatically. So as I look moving forward, I got to give that some consideration. But as far as the LTI targets, right now, I wasn't here when those were set, but there's something that we have to live with. But as we look forward, I mean it's certainly something that I'll look at.
Jason Miele : Yes, Peter, I guess I'll just add I was obviously part of the board sets those, but they obviously relied on our data, et cetera, and at the time we set those prior to the year starting. And the expectations around the market, as Aaron walked through earlier in the deck, we didn't see the downturn as significant as it is. And so now Aaron's laid out the framework of how we'll run the business with margins above 25, STIs are set at a point in time, our LTIs are set in a point of time, and now you got a market that's decelerated over 10% since that time, we'll have to adjust and run the business accordingly.
Operator: That is all the time we have for questions today. I will now hand the conference back to Mr. Erter for closing remarks.
Aaron Erter: Hey, just I want to thank you all for joining the call. And I would like to end reiterating what I said earlier on the call. Whatever challenges we face, it's our job to outperform the market while providing our customer solutions. That's what we have a history of doing and what we intend on doing moving forward, regardless of market conditions. I'm proud of the team. I think we are managing decisively and aggressively. And hopefully you've heard here we're laser focused on driving profitable share gain in every region while delivering strong financial returns. Thank you very much.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.